Operator: Greetings. Welcome to the Digital Brands Group Q1 2024 Conference Call. [Operator Instructions] Please note, this conference is being recorded. 
 I will now turn the conference over to your host, John McNamara. You may begin. 
John McNamara: Thank you, [ Holly ]. Good morning, everyone, and welcome again to the Digital Brands Group 2024 First Quarter Earnings Conference Call and Webcast. With us on the call this morning from Digital Brands is Hil Davis, Chief Executive Officer. Hil will begin the call with an overview of the quarter, and then we will open up the lines for questions. 
 Please keep in mind this earnings call may contain forward-looking statements as defined in Section 27A of the Securities Act of 1933 as amended, including statements regarding, among other things, the company's business strategy and growth strategy. Expressions which identify forward-looking statements speak only as of the date the statement is made. These statements are based largely on the company's expectations and are subject to a number of risks and uncertainties, some of which cannot be predicted or quantified and are beyond the company's control. Future developments and actual results could differ materially from those set forth in contemplated by or underlying the forward-looking statements. In light of these risks and uncertainties, there can be no assurance that the forward-looking statements will prove to be accurate. 
 With that, I'll turn the call over to Hil Davis. Go ahead, Hil. 
John Davis: Thank you, John. Good morning. Despite a timing shift in our wholesale shipments, which shifted revenue from the first quarter to the second quarter, we experienced a significant operating expense leverage. We expect this operating leverage to continue throughout the year. In fact, this operating leverage coupled with higher revenues result in higher flow-through to our operating and net income. 
 Regarding the shift in wholesale, we had our fabrics, a majority of our fabrics get stuck in a shipment container at the L.A. port due to an X-ray check [indiscernible] of other products. So we lost 2 weeks there, which meant January shift in middle of February, middle of February shipped in middle of March and majority of March shipped into the April period, which is what impacted revenue, which is pretty significant if you kind of take the current revenue and divide by 2. And I think that's really something people need to pay attention to because we will pick that up, and we should ship the majority of June at the end as we -- the wholesalers have unkind this based on sell-through rates in their stores, and we do not expect that to happen again.  It was just a one-off where U.S. customs flagged the container we were in. There was nothing we could do. We just had to wait until it went through its X-ray process, which we lost 2 weeks on and then everything was behind by then. 
 By the way, from our -- as we move into the second quarter, not only do we benefit from that shift of March into April, we'll also shift benefit from our store, which opened in mid-April. We are experiencing healthy week-to-week revenue increases since we first opened the store, and we're excited to see where that goes as it continues to grow. And as we said before, we're just sending product down there that we already have. So we're not making product for the store, which is just basically no cost on that side. 
 We also plan to benefit from additional e-commerce strategic decisions in the second half of the year on top of that. So in Q2, you're going to have the benefit of the store as well as the shift of March into April. And then you're also going to -- as you move through the second half of the year, our fall bookings are strong, coupled with some strategic e-commerce decisions we've made. 
 So let's discuss the first quarter results. Net revenues were $3.6 million compared to $4.4 million a year ago. Again, as we mentioned, net revenues were negatively impacted by the wholesale shipments for March slipping into April, and then we expect to benefit from that in the second quarter of this year. The gross margin profit increased 48.1% compared to 45.5% a year ago. We expect that gross margin number to be higher as there are significant fixed costs such as pattern makers, solar, our fulfillment center, the pick-pack ship costs are all built in gross profit or cost of goods sold. So as the revenues are higher, so are the gross profit margins. 
 G&A expenses decreased, $1 million compared to $4.5 million a year ago. This was 27.2% compared to 100.5% a year ago, and we expect to continue to benefit from these synergies since the Sundry acquisition. Sales and marketing expenses were $700,000 compared to $1 million a year ago, 19.8% versus 22% a year ago. And part of that, too, was the fact that the March e-commerce orders also been flipped into April as well. So really only 2 months of e-commerce in the Q1 numbers. 
 Net operating loss was $225,000 compared to $3.7 million a year ago. What's interesting is if you look at what revenues slipped into the April period, we would have actually reported positive net operating income based on those results. Net loss was $684,000 or a loss of $0.46 per diluted share compared to a loss of $6.1 million or a loss of $27.8 (sic) [ $27.48 ] per diluted share a year ago, which is a significant improvement. 
 In concluding, as we stated, the company would achieve significant operating leverage as we lap the first year of our Sundry acquisition. We expect this operating leverage to continue throughout the year on higher revenues, which will increase the flow through to the net and operating income. Additionally, given our results and given what we expect to achieve in Q2, Q3 and Q4, the Board will continue to achieve strategic alternatives given the continued dislocation between Digital Brands Group public markets and the intrinsic value of the company's underlying assets and operating performance. 
 We have several options that we can pursue, all of which should increase shareholder value meaningfully. And we know based on inbound demand that are not -- what our Nasdaq shell is worth, which is significant. So we will continue to pursue this, especially, like I said, as we know what Q2 is shaping up to be in what Q3 wholesale orders are, the strategic alternatives, the store, et cetera. 
 So thanks, everyone, for their time. We look forward to the continued momentum, and this concludes our first quarter 2024 earnings call. So let's open it up to Q&A, please. 
Operator: [Operator Instructions] Your first question for today is from [ Mike Travlos ], a private investor. 
Unknown Attendee: General broad question, but what is the company's you say, competitive advantage or approach to the retail market? I mean, obviously, retailing is big and fragmented, but what's our angle here that we're playing with opening this one store and pivoting from e-commerce, so on and so forth? 
John Davis: Yes. Regarding that, I don't -- I wouldn't look at a one store is pivoting from e-commerce. I think it's one of those things where what we're seeing is you need to have wholesale, you need to have e-commerce. And then if stores work, you also need to have stores. One thing about apparel, unlikely a book or a glass or something along those lines is that it is physical touch, see, fill, fit matters. So I would just kind of keep that in mind. I think it's more you need to be in all the channels if the channels work. 
 With e-commerce, the days of just rolling out unlimited ad spend is over. And so you're watching ROAs more closely and you're running a ROAS based campaign instead of just open to the right feet to meter campaign. And then wholesale continues to be strong for us. And then as far as the store, we had a lot of, like we said, products from Sundry alone that was just sitting there. So it's in an outlet location. We'll continue to monitor that and see what makes sense. And if it does make sense to open a full -- what they call a full retail store. And then if so, we'll pursue it. So we're just learning there. 
 And then we took over at least, so it's a short lease. So it's only 3 years. So there's not a lot of obligation or liability there. So in terms of what differentiates us, I would say the big things are it's just going to be design and price point with Sundry. The Q1 of last year was their last really good quarter before the brand kind of rolled over. And we're lapping incredibly easy comparisons in Q2, Q3 and Q4. And so we expect to see that improve nicely. And what we did there is we sharpened the price point and brought in a new design team. 
 Stateside, we continue to just grow that slow and steady, 20% a year, and that's basically driven on where the best price point at the women's contemporary market. And so that brand just gets more and more awareness and continues to build. And then we still is e-commerce only and Bailey's is predominantly licensing now. So it's really sharpening the price points, so where you're the best product at the best price and then good design. We brought in a new designer for both brands, basically fall of last year. So we're starting to see her product hit the store floors and sell-through. So that will benefit. 
 And then I think that's really the big driver. It's just being smart about it, just not chasing growth, focusing on cash flow as much as you are top line growth. And again, top line growth in Q1 was significantly impacted by basically majority of March shipping in April. And then you've got -- so we get that benefit plus the store plus some other things. Does that answer the question? I know it's a little long winded just one of the kind of given for overview. 
Unknown Attendee: No, it does kind of new to the story, so I did want to hear something extensive. Second question, you had come out with a press release in the past somewhat recent about no equity raises in 2024, but you had some equity activity. I don't know if you call it a raise. So what's the situation? 
John Davis: Yes. So that was driven mostly by the Nasdaq sending us a delisting notice because our -- at the end of the year, we have to -- the auditors go through and now that accounting is predominantly all theoretical based and not actual based. As an example, you have to take all these noncash charges. As an example of that was, we had to take a $368,000 noncash income tax charge, because for GAAP accounting, we can potentially sell any of our brands at any point in the future, unknown, it could be a millennial for now. It could be a decade from now, it could be a year from now. No one knows. But this is what they say. And so they say, based on that, you need to take a tax consequence for that, which is kind of silly, because one thing I can guarantee is they don't know when and the number is going to be wrong, that they assigned to it, right? 
 And so we had a lot of net noncash charges, which dipped us below, you'll see we're above it now. But what they -- the Nasdaq looks at 2 things. One is at the quarter, that's number one. And then number two is what they perceive as their -- your ongoing amount of burn and if you can maintain it. So we have our hearing coming up. And basically, based on our conversations with the Nasdaq, we knew we're going to be in compliance when we reported Q1 and but everyone felt that based on their comments and how they're reviewing all these things that we needed to show that with our burn in this additional capital, it would take us out of that risk, because I don't know we just -- it's one of those things where they said it's a 50-50 weight, 50% is if you're in compliance and the second is if they deem -- so completely subjective, if they deem that your burn will be able to be lower or will continue to maintain that shareholder equity. So that's what's driving that. So it wasn't driven by being staying listed on the NASDAQ. 
Unknown Attendee: So you just played it safe and just raised additional capital and if you don't need it, then you don't need it then? 
John Davis: That's right. Yes, sir. That's -- unfortunately, that's right. Exactly. And we went to the same thing last year because of this same issue. Now what's really important, too, is to keep in mind, as you move into the rest of this year, if you look at our interest expense line, you'll see that it's pretty meaningful. That majority -- not a majority, some of it rolls off at the end of Q2, because that debt's paid back. And then the majority of it will roll off in Q3, because that debt's paid back. So when you get into Q4 and then next year, that interest expense line is probably a 20% of what it is now. So we -- really, when you look at that, that's going to be pretty significant. 
 And then secondly, next year, we also $1,000 a quarter in the state side, depreciation and amortization no longer running through the books. So we have to amortize the goodwill of all our acquisitions. So at the end of Q4 this year, it's $800,000 a year. So $200,000 will come back to the book starting in Q1 next year. So what's interesting is when you look at that just alone, Q1 next year, you're going to pick up probably $600,000 just in noncash interest expense, which is are amortized as well as the state side goodwill as well. So that will also be a benefit. Then in fact Q1 or Q2, but it does benefit the -- as we move forward, starting in Q4 on the interest expense side in Q1, both interest expense and goodwill. 
Unknown Attendee: So if you put all that stuff together, you anticipate being at least cash flow positive pretty soon? Not to ask you for guidance, but that's what you're anticipating. 
John Davis: Sorry, I don't know where I cut off on the -- on my last response. 
Unknown Attendee: You would have finished talking about the amortization and interest expense. 
John Davis: Yes. So you'll pick up probably $400,000 in Q4 and then you'll pick up over $600,000 in Q1 pretty much every quarter going forward, Q1, Q2 and Q3 of next year as well. So it's pretty meaningful as you really think about the earning shape of the company going forward, given the G&A leverage. So that will be a benefit as well to everything that's going forward. 
Unknown Attendee: So without giving formal guidance that you anticipate being cash flow positive very soon. 
John Davis: Yes, internal cash flow positive. That's right, exactly. And then from a pure GAAP perspective, yes, we would think we'd start approaching that as well just from a pure GAAP accounting perspective. Q4, you never know, because the problem is all these auditors are getting reviewed by the PCAOB as an example, like they were coming back when we were doing our annual and they were asking us to pull 1,000 invoices to prove that a zipper cost $0.05 and you're like, that's not even 1% of the product cost, which is not what they consider a significant event. So hopefully, we're done with all the -- our auditors being under PCAOB review, because it also just adds a ton of cost. So we -- being public cost of $600,000 in the first quarter alone. I mean it's pretty expensive. 
Unknown Attendee: And on a thing for the... 
John Davis: Yes, that's exactly right. That's exactly right. So we do think that will happen. And it will happen as we move to the second half of the year and then continue going forward. 
Operator: Your next question is from [ Chris Werny ], a private investor. 
Unknown Attendee: Okay. So I have a PhD in statistics from Moscow State University. And I'm really excited because I've been analyzing the revenue and I think you could have a, like 1,000 to 5,000% increase in revenue in the next 2 years or so based on all the data I'm looking at. Are there any plans to develop a statistical probability model based on probability theory to actively analyze revenue? 
John Davis: We don't necessarily look at it that way, because we're -- you've got different revenue drivers. And on the wholesale side, you just don't know. You're showing a couple of months ahead, but the wholesalers buy based on what's happening in the market right now, so it's more emotional than it is anything else. So it's pretty difficult to predict that. And then as far as e-commerce, it's just steady state and just kind of -- especially now that it's ROAS based and the stores, you just got to -- you'll have to figure out how they perform. 
 So I think it's probably a little bit harder because my guess is your variability factors will be a lot higher. So all your inputs will have a very high variable factor and/or standard -- wide standard deviations, which would make it harder. But I do think we are coming off the lowest revenue in the second half of last year. We're lapping that. Obviously, as we lap that, we're getting the interest expense back. And then as you move into next year, you get all the state side goodwill back and then you just continue to build the business. And then I think what people often underestimate is when you build small brands and you start building the customer base up, as those customers start to repeat, what ends up happening is you start to build the space that gets stair-step function higher. But once you guys start to get to certain levels, that stair-step function starts to become more of a higher slope and less of a stair step and more -- it's not a hockey stick per se. 
Unknown Attendee: [indiscernible] function. Okay. Now you're speaking my language. 
John Davis: Yes. So I think that's -- and we're still in that stair-step function space, because most of our brands are small. But what ends up happening is we're starting to see that stair-step function get a higher slope. And I think that's the big difference here is you're going to start to see that. And you see it all the time with brands like a sort of brand called J.Hilburn, that went through the same thing. It was just slow and steady and all of sudden you get into certain markets and you're a brand and then it goes up to the right, because there's a virality coefficient that happens when you get a certain amount of repeat customers in your customer base. So every quarter that goes by, you get closer and closer to that moment of virality basically based on just the number of customers in your base. 
Unknown Attendee: Wow. Awesome. I honestly -- I'm going to increase my personal price target in the next 2 to 3 years to probably a 10,000% revenue increase? 
John Davis: Yes. I can't comment on that, but I definitely think we have the ability to grow revenue. And I think a lot of it is just awareness, too. I mean, when you look at some of these bigger brands that are out there, even ones that aren't performing like Allbirds or you've got Warby Parker that's starting to perform. A lot of it is just they had a lot of money. They raised hundreds of millions of dollars in the private market, built a ton of brand awareness. They built a customer base that is basically repeats. And that's really what it is. All you're doing -- all they did was take the normal time line to growth and shrunk it by raising a lot of capital. We're obviously not raising that amount of capital. So our time line isn't as short as their's, but it's the same passing process. 
Unknown Attendee: Wow. I'm definitely a fan of Allbirds. I've heard from them, and I really like their shoes. I think they're very forward thinking and very unique functional and cool. 
John Davis: Yes, they've done a nice job. And they've raised a lot of money. They have stores. The stores will work for them, some have, some haven't. And I think that goes back to the original where it's Warby Parker stores are working better than Allbirds stores, but you never know. And we look at stores at other brands all the time. And we know that this formula works. You have stores, you have e-commerce and you have wholesale and that's -- and you kind of want a healthy mix there. And if you have all 3 of those ores in the water, then you end up building a good business because you're in all the channels. So that's how we kind of think about it. 
Unknown Attendee: Now what would you say to all the ridiculous haters who say, "Oh, you're a digital company and you're opening up physical stores, this will never work what garbage blah, blah, blah." 
John Davis: Well, I mean, Warby Parker, I think everyone would argue as a digital company as well, and they have over 170 stores. Allbirds is also a digital company. They have something like 65 stores, Marine Layer, digital company, they're private. I think they have over 40 stores, Buck Mason also a digital company, has over 27 stores. I can keep naming them, right? There's -- just because you're digital first, and that's how you're born or what you're doing, doesn't mean you ignore where you can drive revenue. 
 So it's pretty lowbrow thinking or low IQ thinking. And I think what you have to realize, too, is like -- when I launched J.Hilburn, I was at Citadel Investment Group. I was covering restaurants retail. I covered Amazon and Jeff Bezos forever. And he always said that they struggled in apparel. That was the #1 category they struggled in. And if you look at the data today, where they do well in apparel, is basics. They don't do well with branded e-commerce. And the reason I always say is that apparel is touch, see, fill, fit. So Jeff Bezos, who's probably one of the smart people as you've ever seen, run a business. 
Unknown Attendee: That is the methodology. I have a theory that in the future, as time goes on, clothes will generally start to become brandless. People will just say, I want just the cheapest coolest denim possible, and I don't care what brand it is. As things start to go more online and online and more digital in the future, I think that's going to be a trend. And I got to tell you, I regret not buying Amazon stock in the '90s. I think I had some music land stock Yes. Wow. 
John Davis: But I think that's the key, right? I mean, even look at J.Crew. They were catalog. They started opening stores. Their revenues just went through the roof, right? Because then you go in, you're this size, you like this product, as you continue to keep that fit and make to that product quality, then they go online and buy. So I think what people miss is that in apparel, you acquire in the physical and you retain into digital, it's that simple. 
 So the whole point is you need a good customer acquisition trap. And I think that's where wholesale comes in. And I think that's where stores come in and then your digital becomes the retention engine, right? And that's your profitability engine, too, because you're not spending as much to acquire a customer. So I think that's where people miss it. And again, I go back to -- I think everyone argue, Jeff Bezos a pretty smart guy, built a pretty big business. Go back and read all his case, his cues and his earnings report and his earnings call, and he will tell you they couldn't crack retail or apparel. So they can't crack apparel, and he's spending more money and more time against it than anyone in this room. And if you added all our IQs together, he's probably smarter than all that, too, that tells you a lot, right? 
 So I think that's why you have to have all 3. So you can't look at it as just because you're digital first doesn't mean you're digital only. You can't be digital only, you can't be wholesale-only and you can't be store only. You have to have all the ores in the water at once. And that's just the reality of it. And the mixes will shift as the consumer shift, right? I mean during COVID, there were no stores to go into. So digital was massive. As people have come out of COVID, they want to shop. 
 And so you need to follow the customer, you don't follow a business principle and say, "No, we're only digital. And the customer is wrong." They don't -- they want to shop in stores, but we're not going to do that because we're smarter than them. That's not a good recipe for success. But the problem is that people online are oftentimes sadly, one standard deviation thinkers. So they only think to that one piece and not like, "Oh, what would like if you do pull X, what happens in Y, Z and A downstream and how does that impact what you need to do." 
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.